Operator: Good day and welcome to the Aemetis Third Quarter 2016 Earnings Review Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Todd Waltz, Executive Vice President and Chief Financial Officer of Aemetis, Inc. Mr. Waltz, you may being.
Todd Waltz: Thank you, Tony. Welcome to today’s Aemetis third quarter 2016 earnings review conference call. We suggest visiting our website at aemetis.com to review today’s earnings press release, updated corporate presentation, filings with the SEC, recent press releases, and previous earnings conference calls. This presentation is available for review or download on the aemetis.com home page. Before we begin our discussion today, I’d like to read the following disclaimer statement. During today’s call, we’ll be making forward-looking statements, including, without limitation statements with respect to our future stock performance, plans, opportunities, and expectations with respect to financing activities. These statements must be considered in conjunction with the disclosures and cautionary warnings that appear in our SEC filings. Investors are cautioned that all forward-looking statements made on this call involve risks and uncertainties, and that future events may differ materially from the statements made. For additional information, please refer to the company’s Security and Exchange Commission filings, which are posted on our website and are available from the company without charge. Our discussion on this call will include a review of non-GAAP measures as a supplement to financial results based on GAAP. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is included in our earnings release for the quarter ended on September 30, 2016, which is available on our website. Adjusted EBITDA is defined as net income or loss plus, to the extent deductable and calculating such net income, interest expense, loss on extinguishment, income tax expense, intangible and other amortization expense, depreciation expense, and share-based compensation expense. Now I’d like to review the financial results for the third quarter of 2016. Revenues were $39.4 million for the third quarter of 2016, an increase from $38.5 million for the third quarter of 2015. The increase in revenue was primarily attributable to increase in ethanol and wet distiller’s grain volumes. Gross margin for the third quarter of 2016 was $3.7 million, a significant improvement over the gross margin of $1 million during the third quarter of 2015. Gross margin was improved by 11% decrease in the cost of feedstock. Selling, general and administrative expenses were $3.2 million in the third quarter of 2016, compared to $2.8 million in the third quarter of 2015. The increase in selling, general and administrative expense was driven by marketing expense related to the higher ethanol and distiller’s grain volumes and increase in employee compensation compared to the period of the prior year. Operating income was $357,000 for the third quarter of 2016 compared to an operating loss of $1.9 million for the same period of 2015. We continue to experience good operational results from our North America Ethanol business with gross margins at 10.3% of segment revenue. Net loss improved to $4.1 million for the third quarter of 2016 compared to a net loss of $5.8 million for the third quarter of 2015. Our largest contributor to the net loss is interest expense of $4.5 million. We continue to work to lower our cost of interest and fees through a debt refinancing from the EB-5 Phase I and Phase II funding. During Q3 and in subsequent EB-5 escrow releases after the end of the quarter, we received $6.5 million of EB-5 funding at a 3% interest rate. All of this funding was applied to reduce our higher interest rate senior secured debt. Last week, an additional $2.5 million was approved for release from the EB-5 escrow bringing the total EB-5 funding release to the company in Q3 and Q4 2016 to-date to $9 million. The fundamental improvement in our operating North America business is reflected in adjusted EBITDA for the third quarter of 2016, which increased to $1.75 million of adjusted EBITDA in Q3 2016, compared to a loss of $522,000 for the same period in 2015. Cash at the end of the third quarter of 2016 was $652,000, compared to $283,000 at the end of the fourth quarter of 2015. That completes our financial review of the third quarter of 2016. Now I’d like to introduce the Founder, Chairman and Chief Executive Officer of Aemetis, Eric McAfee for a business update. Eric?
Eric McAfee: Thank you, Todd. For those of you who may be new to our company, let me take a moment to provide some brief background information. Aemetis was founded in 2006 and we own and operate facilities with more than 110 million gallons per year of renewable fuel capacity in the U.S. and in India. Included in our production portfolio is a 60 million gallon per year capacity ethanol plant located in Keyes, California near Modesto. We also built, own and operate a 50 million gallon per year capacity distilled biodiesel and refined glycerin bio refinery production plant on the East Coast of India near the port city of Kakinada. Aemetis owns and operates first-generation biofuels plants in order to develop, license or acquire advanced biofuels technologies that are adopted at our owned facilities, then have the opportunity to deploy these advanced biofuels technologies among the approximately 200 ethanol plants and 100s of biodiesel plants in the U.S. and worldwide. Unlike technology-only companies that lack first-generation biofuels production facilities, our platform biofuels businesses provide non-dilutive operating income and access to debt financing to fund growth without requiring shareholder dilution. We’ll first briefly discuss our platform businesses in ethanol and biodiesel, then review our low cost financing initiatives and exciting projects in advanced biofuels. To begin let’s review our ethanol business. Since we have received many questions about the impact of recent elections on our U.S. ethanol business, let’s start by noting that the growth of the ethanol industry benefits both fuel and food consumers. Ethanol is the largest domestic source of low-cost, low carbon renewable fuels enabling increased independence from foreign oil producers. As a reminder, ethanol can be thought of as a byproduct of the production of the high-protein animal feed called distiller’s grains. Ethanol plants extract the lower value starch that comprises 72% of the corn kernel and then provides remaining protein, corn oil and fiber to feed dairy cows, poultry cattle and other animals at a lower cost than whole corn. In our ethanol business, during the third quarter of 2016, gross margins expanded over last year by 730 basis points to 10.3%. The gross margin expansion was largely due to reduction in our feedstock cost, which we expect to continue during the current crop year. Lower price of corn and increasing demand for low-carbon fuels this year has significantly improved the margin environment for corn ethanol production. The price of ethanol has shown strength and stability in the second half of this year. The ethanol business improved in the third quarter as the consumption of gasoline reached a new high of 9.7 million barrels per day surpassing the previous record of 9.6 million barrels per day set back in 2007 according to EAA. For the fourth quarter of 2016, we believe margins will remain on the positive trend due to continued strong demand for gasoline, continued stability in the enforcement of the federal biofuels laws, a robust ethanol export program that takes advantage of lower cost of biofuels feedstock in the U.S. compared to Brazil and other biofuels producers, and continued low corn costs due to historically large corn crop harvested last year and this year. In November the EPA is expected to release the biofuels volumes required under federal law for 2017. The U.S. biofuel distribution infrastructure is currently delivering an average of more than 10% ethanol blend to consumers and a 15% ethanol blend is EPA approved for use in cars that generate more than 85% of the miles driven each year. We see significant long-term growth in the ethanol market as car manufacturers seek to achieve higher fuel economy by using smaller and lighter engines that require up to 30% ethanol in order to increase the octane in the fuel. Ethanol is approximately 113 octane compared to approximately 84 octane available from petroleum gasoline enabling the adoption of higher compression engines with better fuel economy and lower emissions. In summary, we see the EPA mandates for blending volumes from first-generation ethanol increasing from 13.4 billion gallons in 2015 to about 15 billion gallons in 2017 in the U.S. and we predict high demand for advanced biofuels to meet the need for another 7 billion gallons of ethanol as the market adopts E15 as the new minimum biofuels blending standard in support of higher performance engines. Let’s review our India biodiesel business. India biodiesel and refined glycerin revenues jumped from $1 million in the second quarter to $5.5 million in the third quarter. The increase of crude oil prices from a low of about $25 per barrel in January 2016 to high of more than $50 per barrel during Q3 2016 is directly correlated with the price of biodiesel in India. Margins are currently being challenged by the rise in feedstock prices during 2016 though using lower cost feedstock to supply higher margin biodiesel markets is in process. We are very pleased to announce that subsequent to the end of Q3, we fully repaid the senior secured debt of the India subsidiary. Our plant is now free of secured debt allowing us to obtain working capital financing from traditional bank sources in India. The lack of working capital lines of credit for our India plant has been the primary cause of slow revenue growth. We are currently negotiating a significant line of credit with a large India back that will improve our operating margin by reducing the 30% share that we currently provide to a feedstock supplier for inventory financing. We believe a new working capital line of credit with the bank will enhance our ability to grow revenues. Recently the European Union eliminated the existing 6.5% tariff barrier for India oleochemicals effective January 2017, again making India distilled biodiesel a low-cost source of supply to Europe. Aemetis already has a distilled biodiesel product that is fully qualified for sale in the EU. In 2013, we have sold more than $30 million of distilled biodiesel into the EU and we are well positioned to begin shipments to Europe again in Q1 2017. We’ve been approached by several customers including major oil companies regarding a contract to provide up to 100% of our existing 50 million gallons per year of biodiesel plant capacity. Let’s now review our key financing initiatives. A significant component of our expenses is interest and fees on our senior debt. Aemetis financing plan is to entirely repay its high-cost senior bridge loan with low-cost EB-5 funds and funds from operations. Aemetis has already received $31 million of EB-5’s Phase I funding and currently has $5 million of additional funding to be received from Phase 1. With the completion of our EB-5 Phase 1 project, during the third quarter 2016, we officially launched a Phase II $50 million EB-5 funding. The repayment of the existing senior bridge loan is expected to result in significant interest rate savings. We estimate that an interest rate reduction from 14% to 3% and the elimination of loan fees for the senior bridge loan will result in an annual interest and fees savings of more than $12 million per year with about 20 million Aemetis shares outstanding, this interest rate savings represents an increase of about $0.60 of earnings per share per year. Let’s now review our two important advanced biofuel projects. Edeniq is a technology company that has invested about $100 million over eight years and created a patented process for the milling and the enzymatic production of corn kernel fiber into cellulosic ethanol by the upgrade of existing foreign ethanol plants. In May 2016, Aemetis and Edeniq entered into a definite agreement for Aemetis to acquire Edeniq’s outstanding shares for 5% to 10% of Aemetis most common stock plus up to a maximum of about $20 million of cash to be paid in the future. The cash payment is primarily a 20% allocation of Edeniq’s future operating cash flow with Aemteis receiving 80% of future cash flow during the earn out period. In August 2016, EPA approved the Edeniq’s first ethanol plant installation after which Edeniq attempted to terminate the acquisition. In September 2016, Aemteis served the lawsuit to require Edeniq to fully perform its obligations under the merger agreement. We continue to aggressively pursue the favorable resolution of our enforcement of the acquisition agreement and we will announce any material event related to Edeniq as soon as it is achieved. In the second quarter 2016, Aemetis announced the licensing agreement with LanzaTech to build an 8 million gallon per year cellulosic ethanol production facility that will utilize nearby agricultural waste such as orchid wood, forestry waste and other renewable biomass for the production of ultralow carbon transportation fuel. The LanzaTech project is comprised of a pretreatment unit near the Aemetis ethanol near Modesto with final processing and load out occurring at the existing Aemetis plant. The LanzaTech advanced ethanol project is now on the engineering and permitting phase, we anticipate project completion by the first half of 2018. A key benefit of the LanzaTech process is reduction in feedstock cost by more than 80% due to tipping fees from waste feedstocks for biofuels and power production at the plant. In addition, we estimate that advanced ethanol can be worth $3 dollars per gallon more than first-generation ethanol, a further advantage of the advanced ethanol business compared to corn ethanol, its potential long-term contracts that will allow the positive cash flow from LanzaTech project to be substantially guaranteed by supply and offtake agreements. In summary, we are well positioned with improved fundamentals of the ethanol business, potential for increased biodiesel business shipping to the EU, significantly reduced interest cost by repayment of high-interest debt with low interest EB-5 funding and the exciting positive capital opportunities in from the LanzoTech and other advanced ethanol projects. Now, let’s take a few questions from our call participants. Tony?
Operator: Thank you, Mr. McAfee. We will now conduct a question-and-answer session. [Operator Instructions] We will take our first question from Carter Driscoll with FBR. Please proceed with your question.
Carter Driscoll: Good morning, Eric. Good morning, Todd.
Eric McAfee: Good morning, Carter.
Todd Waltz: Good morning.
Carter Driscoll: So I was hoping either of you can help me understand maybe the process of the – what you – it sounds like you are fairly confident that you will resolve the Edeniq acquisition favorably, maybe give a timeframe, talk about the legal process and maybe even your thoughts on what to the ability you can within the legal environment you’re clearly under the rationale for why they tried to walk away from the agreement? And then I have a couple of follow-ups. Thank you.
Eric McAfee: Let’s start with the rationale because that was the beginning of it. We signed the initial agreement in early May of 2016, but that was after a rather extensive negotiation period in which they offered to their existing shareholders an opportunity to match or even improve upon our opportunity. There was a lack of confidence among their shareholders at the time because they just endured a three-year process of EPA approval of the basic pathway of corn kernel fiber being made into cellulosic ethanol and that was completed in 2015. This process is what’s called the company registration that they entered into early this year and it was already running late at the time that we signed our acquisition agreement. I believe that this had a dampening effect on the enthusiasm of their shareholders and board members and it reflected in their inability to raise capital from those other sources. We were asked to get directly engaged and I was actually personally engaged representing the parties to the company registration, which is primarily Pacific Ethanol’s plant stock and we achieved approval by the end of August, which was a bit of surprise quite frankly on how efficiently we moved through the EPA approval process. And so, basically, immediately upon receiving the EPA approval, the Edeniq management team informed us that their Board was not interested in continuing with the terms of the existing deal and they had described that they had wanted to have a better deal as it became clear that the EPA approval is pending. And as I described in my earnings overview, our basic arrangement is an earn-out. There are some fixed payments for a couple of years, but bottom line is it’s mostly a 80% Aemetis, 20% Edeniq cash payment and then they get to [elect] [ph] slightly more cash -- $2 million more cash if they take 5% of the company, and if they take 10% of Aemetis, they get less cash, that $2 million less cash. So it’s weighted toward an equity ownership in Aemetis. And during this time period, price of crude oil and other uncertainties in the market, I think, caused some dampening in the stock price of Aemetis. So I think their thinking was that they would attempt to take advantage of this new found opportunity with an EPA approval and start marketing the product to other customers and seek to avoid their obligations under the Aemetis agreement. So we have litigation that was filed in September to simply enforce the agreement. Aemetis has fully performed on the agreement and actually in writing have a document from them as of June 1, 2016 demonstrating that we fully performed. And so we think it’s a simple operation. We think that the enthusiasm they had around the EPA approval was the reason for that desire to breach the agreement.
Carter Driscoll: Can I just interrupt for one sec, so as I understand just the mechanics of the rationale that they are trying to use to walk away, is what – that’s right – I understand how you can enforce it because you have performed all the obligations that you’re required to under the agreement, what is their rationale legally in your opinion for their ability to walk away?
Eric McAfee: Their rationale is they think it’s not fair anymore. Now that there has been EPA approval that we should pay more for the company and that our confidence in May 2016, which exceeded their confidence should now convert into us being [wanted] [ph] to pay more for the company. Our current view is we have a signed fully delivered agreement and that they simply failed to deliver a simple stock and cash election, which is what their failure was. And we are seeking to just enforce them to go out to their shareholders and have their shareholders select how much stock and how much cash they want and that’s the final step prior to closing. So it’s more of a business issue than a legal issue. Their shareholders are of the belief that a large number of ethanol plants will adopt that technology. And let’s do the math, you get 100 ethanol plants and you are making several million dollars per plant per year, obviously, the plant – the business is quite valuable. So they made it clear that they thought that they should get a different price if EPA approval occurred and it occurred but a whole lot quicker than anybody expected. And so I think that upside surprise is what led to their attempt to not proceed with the deal.
Carter Driscoll: Okay. And then just maybe an estimation of how long you think this will take to play out in the court system roughly?
Eric McAfee: Well, we don’t believe, it’s going to be the court system that’s going to resolve this situation.
Carter Driscoll: Okay.
Eric McAfee: They are a growth company and they need additional capital. With some factors in the political landscape and other factors, we think that they are going to need to come to decision a whole lot quicker than any court resolution about how to raise additional capital and quite frankly how to resolve this litigation. So we are aggressively pursuing our position. We are very solidly in just enforcement of the agreement and believe that this will get worked out relatively quickly.
Carter Driscoll: Okay. Thank you for that. May be just switching gear, so it sounds like – despite some pressure from the rise in feedstock in your India biodiesel facility that the repayment of the outstanding loan to the state bank could trigger the ability to access capital in that market. Can you talk about maybe timing and size of what you’re seeking and how that would impact potentially the uptake or – and I know in the past, you talk about expansion, I realize the capacity utilization is not where you’d want it to be currently, but some of that working capital line may be target longer-term for expansion if you can hit on some of these objectives in terms of that one potential uptake that could take your entire production away with a single contract? Just trying to get the puts and takes around how to think about the potential opportunity in India in the near-term.
Eric McAfee: That’s a good question. There were two capacity expansion constraints that are being relieved in India. I should highlight that the working capital constraint has been a very significant one. And so our repayment of all of the senior debt in India and essentially the debt-free entity from a perspective of the lender [inaudible] has enabled us to have a process in which we get more $5 million of working capital in place that of course collateralizes – let’s just say, it’s collateralized by the new inventory we purchase. And so, that will certainly be sufficient for the kind of growth necessary to get this to 100% of capacity. But I should mention that our arrangement in California has allowed us to rely upon a multibillion dollar company to supply working capital financing and it’s a customer financing, it happens to be the entity we ship all of our products to and then they sold on to Chevron and Valero and Tesoro and other customers. And so we’re experiencing the same opportunity in India as the European Union is opening up and major oil companies are seeing the wisdom of providing access to their very, very cheap working capital arrangements. And so, we have opportunities for them to acquire feedstock delivered to us and then we sell it back to them. And, again, it’s similar to our very efficient working capital arrangement in California and it happens in an environment, which the customer realize that they need to buy the product and that our high cost of funds is a constraint on them being successful. So we’re seeing that same scenario play out in India and can say that I – I would say that that’s even more favorable than our own working capital line of credit being put in place would be the ability to access our customers availability of working capital.
Carter Driscoll: Well, thank you for that. And then does the – the potential access to additional – this particular working capital funds in India, does that impact your ability to ship to California the low carbon fuel standard or it’s kind of separate – because I know you talked about trying to find the right partner to do so in California, are those two related or not and maybe just an update there?
Eric McAfee: The working capital financing will primarily positively impact our India business buying feedstock and then delivering it domestically in India without relief, any working capital constraints due to local India Bank financing. For shipments into California and shipments into Europe, we think that these customer relationships are going to be the quickest way to ramp up rapidly. And we’ve done in excess of $30 million of sales into Europe already, we already have relationships with very, very large – you know, tens of billions of dollars in revenues per year trading companies in Europe and these major oil companies, of course, are also in that scale. So by being a valuable vendor to those customers, we find that logistics, tankage and working capital all come together to make for a very seamless customer relationship. And so I think we are going to need to see those kind of relationships driver our business overseas.
Carter Driscoll: Maybe just one more on India before I shift gears. So if – it sound as though shipping into Europe might be taking precedence over shipping domestically within India, I mean just got to compare and contrast those near-term opportunities, if you may?
Eric McAfee: We definitely have a race underway. I think you correctly identified that the EU tariff change effective January 2017 will have a very positive impact on our business and create some challenges for our limited amount capacity. The domestic India diesel business is about 25 billion gallon per year business, so at only a 10% blend, that’s 2.5 billion gallons per year. So we see expansion in India, but the margin opportunity in Europe with the incentives that the Europeans provide for biofuels currently is expected to exceed the market opportunity in India. Our plan is continue to supply India as a leader into biodiesel and I think you know 100% biodiesel know as B100 was improved approved in India and we have customers that literally have no petroleum in their gasoline – in their diesel factor using our product as a full replacement of diesel. So not only we’re a supplier, but quite frankly our customers have become dependent on us as a lower cost source of fuel. And with 80% reduction in particulates and 80% reduction in greenhouse gases, it’s very important to the growing Indian economy to clean up their fuel as they try to solve some of their pollution issue. So we will continue to be a very significant player in India. But I can mention that because of this challenge of trying to supply large European market and the growing India market, we face the need to expand the capacity of our plant which is originally designed on a footprint of 100 million gallons per year and we initially adopted the equipment for 50 million gallons but are well-positioned to double it to 100 million gallons in relatively short order. So as demand and customer relationships require, we do expect to expand [indiscernible] million gallons would be the next step.
Carter Driscoll: Then, may be just a couple of quick ones, with the change in administration obviously the 8-K is going to be finalizing removals in November, are you concerned that it could be a policy that garners the attention maybe not right away but at some point are you concerned with the change in administration and they are fairly public I would say a version that’s too strong a word but certainly have not been, had made several comments towards the alternative energy industry in the past. So maybe your thoughts there and then just one quick follow-up after that.
Eric McAfee: I think we need to learn somewhat from what happened in the Obama presidency and eight years ago the conversation would have been is Aemetis excited about how fantastic Obama is going to be for biofuels. What we saw for eight years was the lack of enforcement of federal law and other inconsistencies. I think we’re going to have exactly the same surprise in the inverse with Mr. Trump. I think he values domestic sources of anything, manufactured goods certainly one of the products that we require in the United States is fuel and ethanol is clearly the choice of a gallon of domestically produced product versus a gallon of OPEC produced product. So I think that’s a simple yes or no question, does he prefer American jobs or foreign jobs? And so I think we are very solidly in the pro column for that. The second one is political. Mr. Trump was the only presidential candidate on the Republican side who strongly endorsed renewable fuel standard ethanol and corn farmers early in the Republican campaign and the son of the Governor of Iowa was a Chairman of the Trump campaign in Iowa. So as you know, Iowa is a largest powerful producing state in the country. So I we’ll find ourselves quite surprised about how important biofuels especially exempt biofuels from waste products and the production of those fuels in the U.S. is to the Trump energy plan. Now I do think that fracking will be important. I think the Keystone pipeline will be important. I think domestic refining is going to be important. There is going to be things we’ll focus on us becoming energy independent and I think biofuels play well in all those scenarios and I am quite enthusiastic about watching the oil industry lobby because they’re going to work hard I think to bring up their repeated attempts to resin the renewable fuel standard. But the bill has been doing in face of a very obvious question, which is if you do not have 15 billion gallons domestically to produce renewal fuels then you definitely have 15 billion gallons of imported probably OPEC fuel and that’s a very easy question for the Trump administration to answer in favor of biofuels. So I’m personally looking for upside surprise in the Trump administration.
Carter Driscoll: Okay, interesting takeaway. Thank you. And then lastly, timing on EB-5 Phase, they’ve publicly gone out and representing a Phase II but I think you have commented in the past that you believe there would be a quicker path to both getting an escrow and then being released from escrow if I’m correct and then maybe just an update on the timing there which gives you more confidence because obviously lower interest expense has a material impact on your bottom line.
Eric McAfee: Exactly. Over approximately the past year, little more than past year we received about $31 million from the EB-5 project. But that required that the funds were deposited in escrow and then we would wait for up to year and a half for U.S. government paperwork to be completed related to the underlying investor. Because we are now a successful EB-5 project developer, our second offering does not have that requirement of let’s call it up to 18 months delay. And so within a few weeks of deposit, those funds are released to the project, the investor begins receiving their interest payment much, much sooner of course, they don’t have to wait a year and a half which is a benefit to the investor. But over the next slightly more than a year, basically by end of 2017, we are expecting to fully subscribe all of the next $50 million of this offering and the collection process may delay it slightly into 2018. But if we are continuing on the track right now of exactly would be done with this offering by the end of 2017.
Carter Driscoll: Okay, appreciate it. I’ll take the rest of it offline. Thanks for your time this afternoon.
Eric McAfee: Good. Thank you, Kirk.
Operator: Thank you. Next we will move to Tom Welch with Ameriprise. Please go ahead, your line is open.
Tom Welch: Great quarter. You really surprised me on the upside which is always one thing. Couple of questions for you, first of all, could you provide some color on one of your comments, you’re looking at lower cost feedstocks. I know that there have been issues as far as import cooking oil into India. But can you provide some more color on the – which are doing for us lower cost feedstocks for biodiesel?
Eric McAfee: Very good question actually and it’s a core question for our India business. There are some proprietary feedstocks that are extracted from waste in the industrial processes that are less expensive than the current feedstocks we currently use that are being proposed to us by some of the customers we are doing business with. And they have controller in some cases producing feedstocks and they’re looking for us to be able to process them into European Union quality distilled biodiesel. If you don’t distill the biodiesel by the way, the contaminants in the biodiesel will crystallize during the shipment to Europe and by the time to get your end, they don’t pass the quality checks in Europe. So our unique distilled biodiesel capability in India which is shared with only couple other plants really limits the number of companies that can process this lower cost feedstock. So couple of these feedstocks are proprietary, in other words, they really don’t want us to tell them all the competitors what it is but they’re all agriculturally based renewable feedstocks and some are biproducts from industrial production processes both domestically in India as well as not in India. And the uniqueness about our opportunity is that we already approved to ship into Europe with this distilled product and that is a major barrier to entry of any other potential producer that might seek to copy what we are doing.
Tom Welch: Fantastic. Following up on the question of lower-cost feedstocks, is there more than enough quantity of these sliced or proprietary feedstock. I know that’s been an issue in the past for example…
Eric McAfee: Yes, there actually is sufficient quantity to operate our entire plant on the feedstock. We do not anticipate that that’s going to be the way it will work out. Our current feedstocks are going through a cycle and we believe that those – that cycle will continue on the downside actually decreasing in price during 2017. So we expect to continue to be a multi-feedstock supplier but we do have some low cost very attractive waste feedstocks. So it could comprise 100% of our capacity. I wouldn’t want to completely rule out the idea that we are just the low cost supplier using these new waste feedstocks.
Tom Welch: And are these new waste feedstocks 100% available domestically? In other words, you wouldn’t have to import them in order to hit 100% production in the current facility?
Eric McAfee: They would be both domestic as well as imported. And I shouldn’t start it by saying used cooking oil is clearly an excellent solution for us but the federal government in India has not yet approved that. So we continue to pursue that but other ways feedstocks would be as inexpensive or even less than used cooking oil.
Tom Welch: And then so there is no problem in importing the specialized feedstocks into India?
Eric McAfee: Not currently, no. They are under existing categories for imported products.
Tom Welch: Fabulous. So let’s move to my next question, there is currently or was a sitting on the shelf about an IPO public offering for a portion of the India biodiesel plant for sale to India citizens. Is that still on the shelf and ready to go or have we decided – have you decided not to pursue that?
Eric McAfee: As you know, we engage a investment banking firm and start the process, this is prior to the decision to decrease the price of crude oil and was most impacted by the Sensex in India by having a decline. But the Sensex is in positive territory. I wouldn’t say it’s back, it’s not booming, but it’s always in positive territory and I think as we see affirming in these policies in both the EU, the U.S. and actually even India with the approval be 100%. The IPO of our subsidiary is clearly an opportunity for us and at the right valuation, we will definitely proceed to closure on that IPO. What we don’t want to do is do a subsidiary IPO that is not highly accretive to our shareholders. We see it as an opportunity that should be exercised only when we really see almost a distorted market in which the value of our subsidiaries significantly exceeding the eye of the parent company.
Tom Welch: Right, very good. Thank you. Those are my questions for now. I’ll pass on to the next person.
Eric McAfee: Great. Thanks for your time.
Operator: Thank you. Next we’ll move to Zachary Singer [ph]. Please go ahead. Your line is open.
Unidentified Analyst: Hi, thanks for taking my questions. I had a question about the $29 million bridge loan letter of intent that was announced in combination with the acquisition in April. Could you tell me where there any conditions on that bridge loan that would have prevented Aemetis from refinancing Edeniq’s $8 million of debt to close the transaction?
Eric McAfee: A requirement under the definitive agreement with Edeniq was that Aemetis delivered by the end of May a letter of financing, a letter from our financing source which is Third Eye Capital and we delivered that letter at the end of May and that was accepted by Edeniq. To confirm that acceptance, they extended the closing period for the acquisition agreement. So the letter was satisfactory to Edeniq and fully complied with the obligations at Aemetis under the agreement.
Unidentified Analyst: Okay. Is the planned installation of the Edeniq system in your own plant running on schedule or is the litigation holding that up?
Eric McAfee: Litigation is holding that up. We have completed initial testing and we’ve not done for with the installation.
Unidentified Analyst: Okay. Did Aemetis July 22 is the closing date for the Edeniq transaction?
Eric McAfee: No, actually that was Edeniq’s date that they desired to do a closing.
Unidentified Analyst: Okay. And you are prepared to meet your obligations as of that date?
Eric McAfee: Absolutely. And frankly to tell you, we’ve been prepared since June to do so. There is a stock and cash election that Edeniq was supposed to have completed by the end of May, but they didn’t get it done by the end of May. So the expectation was they would get it done by the end of June. And when that didn’t happen, then it was extended to July 22.
Unidentified Analyst: Okay. What was the purpose of the second amendment to the merger agreement? It was kind of it reads a little strangely because it gives Edeniq the right to shop itself?
Eric McAfee: It does and it was – we’ve given that release at their request via we felt they needed the extra treatment three weeks to get their election on and they proceeded do not get that election done.
Unidentified Analyst: Okay. And I guess one final litigation question. There was a shareholder information statement and you don’t want to answer that one, this one is fine.
Eric McAfee: Sure.
Unidentified Analyst: Shareholder information statement in which Edeniq shareholders were told, when they would choose the stock versus cash election. Why was it sent out, where it said, they would choose after closing.
Eric McAfee: Actually, we didn’t send out the shareholder information statement. That was prepared by Edeniq said to their shareholders. I don’t think I’ve ever seen it. So, I think, we’ve ever ever seen that document, I’m not sure what they represented in that document.
Unidentified Analyst: Okay.. And then finally with the LanzaTech project, how much do you think whole thing costs will be covered by the $50 million EB-5 funding,, or is that going to be additional financing will require?
Eric McAfee: Our our financing component that is the called the equity, that’s a misrepresentation of what it is from a financial point of view. But it’s what it is this for the project company as the equity will be covered by the EB-5 financing. And then we have just made an analysis, but we just received approval of our first step – our first stage of USDA loan guarantee and they were only a limited number of companies in the U.S. that received this approval. As told there was only three companies in the whole U.S. that received approval under the Biorefinery Assistance Program 9003. And so the combination of the USDA low interest loan program and our EB-5 funding would fund the entire project.
Unidentified Analyst: Okay, that’s great. Great. Well, those are the all the questions, I had. Thank you.
Eric McAfee: Great. Thank you for your time.
Unidentified Analyst: Okay.
Operator: Thank you. Our next question will come from Chris [indiscernible] Capital. Please go ahead. Your line is open.
Unidentified Analyst: Hi, Eric. This is bit of a follow-on question to the question I was just asked regarding the second amendment. So again, what you’re saying that they needed more time to give you the breakdown of their elections in cash and stop, and that’s what you’ve extended to July 22. But I guess, what we didn’t follow here from that answer was why in addition to giving them time, you also gave them the right to shop themselves to other potential suitors. Could you just sort of explain the rationale behind that?
Eric McAfee: Sure. It was actually a mutual extension. They had not been able to complete their stocking cash election, and they were potentially going to run out of money. I mean, this is – or subject to NDA under this agreement. So I wouldn’t want to say anything that has been kind of disseminated by them. They’re a growth company and they are in need of cash every month to pay for their bills. So this give them the ability to go find those parties under our written agreement, which has filed with the SEC. They cannot complete an another financing without our specific approval. But they could certainly go and negotiate with their existing lenders and their existing equity investors about obtaining some cash in order to operate their company, and that was a major concern of theirs in June. And so we gave them permission to restart those negotiations. The way they presented us is that, they thought there were some inside investors that might have an appetite to support them, because EPA process at the time seem to been moving along much, much better than their prior EPA process. And so they thought they might be able to obtain small amount of funds from existing investors.
Unidentified Analyst: But I guess, it wouldn’t the easiest solution for them have been just a close on the transaction?
Eric McAfee: Absolutely. And I – now we get into theories of why they did, what they did rather than facts. But the only thing they need to do is just go out and do this shareholder cash stock election. And they shouldn’t done it in May, shouldn’t done at June, and I can tell you without a 100% certainty, our management teams sitting around here shaking their head saying, why don’t they just get that election done, and then the closing will happen, and they will be down the race. Now maybe they saw the EPA approval coming. Maybe they knew the value of that to their shareholders. And may they thought if it happened quickly they would go a different direction and see if we didn’t pursue the agreement, but that’s all conjectured. What we do know is that they failed to contact roughly 130 shareholders and obtain their election of stock and cash.
Unidentified Analyst: Okay, thank you. That’s all I have.
Eric McAfee: Thank you.
Operator: Thank you. And next we’ll move to James Stone with PSK Advisors. Please go ahead, your line is open.
James Stone: Good afternoon folks.
Eric McAfee: Good afternoon.
Todd Waltz: Good afternoon.
James Stone: It’s been a while since we’ve talked. Trying to get done first of all understanding what’s happening with the court in Delaware have they given you any schedules as to when you are supposed to be doing whatever? And what is that schedule?
Eric McAfee: Is this related to Edeniq?
James Stone: Yes.
Eric McAfee: The actual litigation process will go on for a number of years. We do not expect litigation, it is actually relevant to the resolution of the situation. We think much more relevant is the need for operating cash and other issues related to actually operating Edeniq.
James Stone: Well what is slowing it up? I would assume the court would ask you at some point you present your case and you would say…
Eric McAfee: We expect that will matter, that plus the appeal, than the appeal from the appeal is a multi-year process. So, we do not think that the final court judgment will be actually relevant to the outcome of the Edeniq case.
James Stone: I understand that, but when will be the first appearance before the court to with your position?
Eric McAfee: Well technically the first appearance was more of a procedural process in which we stated that their lawyer [indiscernible] had a conflict of interest with our company, and we succeeded in that first step and that lawyer withdrew from the case and he had to go back to square one and retain other counsel to represent them in the case. That was really the first process with the court and we were successful in that.
James Stone: Okay. Have they given you a time schedule to which they will have a counsel and then the dates when you are supposed to start presenting your case to them?
Eric McAfee: Yes there is no trial date set. The process we are in right now is called interrogatories and depositions. It’s a discovery process. And we get to sit down and talk each one of the members of their management team, their Board of Directors, their shareholders, their customers, their vendors, their financing parties, and any other party you want.
James Stone: Vendor stand out, when would you expect the discovery to pass – when does it actually start and when would you actually expect it to end?
Eric McAfee: Discovery has already started. It started about a month ago and ending will be sometimes in the next 6 months to 12 months, depending on various factors in could extend it. So, litigation is nothing to expect, a resolution from literally we might not have a trial for up to 2 years from today. So, the court process is in not for the purpose of resolution, the court purpose is other goals.
James Stone: Okay. Now you had expected to install their equipment on your place. Why that has stopped? Because you are in litigation or there is some cash flow problems on your side that might be slowing it up?
Eric McAfee: No, the equipment was included as a part of the acquisition as I’m sure you would suspect and we haven’t proposed to buy equipment outside of the purchase of the entire company. And actually a decision to buy the entire company was based upon our initial decision to buy the equipment and we structured the purchase of the company based upon what it would have cost us to buy the equipment. So, we have an expectation and this will get resolved in relatively short order. Again not because of some final court mix of final determination or because of the realities of how litigation needs to be resolved in order to move forward with businesses, especially start-up businesses like Edeniq.
James Stone: Okay. I thought you would place that order at least from the paper that we had seen that you had placed an order with them and then it was a time afterwards that we got the notice that you were looking to acquire them, but you are seeing…
Eric McAfee: We definitely have arrangements with them and at the current time we – neither parties are in default on any of our arrangements for the – related to the equipment. What we have is a default by Edeniq under our acquisition agreement.
James Stone: Okay. So, again I’m trying to figure out what we can put in. Now you are saying that the $50 million gallons you added there in California, you can expand that by another 50 million gallons whenever you decide it’s necessary.
Eric McAfee: In India, yes. The biodiesel plant in India they spot in – the growth in demand that we are seeing can be expanded to 100 million gallons per year.
James Stone: Okay, that’s India, but can you make any expansion in the U.S.?
Eric McAfee: Our plant expansion in the U.S. is based upon the LanzaTech same as ethanol technology. We have signed an agreement that provides for four phases of expansion. Each phase 8 million gallons per year. So, total would be 32 million gallons per year. Roughly, I’m going to round the numbers and say $5 per gallon. So, 32 million gallons and that is $5 a gallon, it is about 116 million of additional revenue out of California, but without using corn as a feedstock, we’d be using these agricultural wastes as feedstock.
James Stone: Okay. And when do you expect to start building that facility?
Eric McAfee: We are currently in the design and engineering phase with construction starting in 2017 and the planned start-up in 2018.
James Stone: Okay. Now as I’m reading the election, may not be a very good reading, I see them as getting rid as many regulations as possible and saying goodbye to EPA that Trump has expressed some rather negative attitudes towards that, if in its sense he’d liberated [ph] the EPA and the requirement to gas with ethanol goes away, what does that impact on you, you think it’ll be a non-event?
Eric McAfee: I think you could accurately say, the EPA was abolished today which has zero impact on the renewal fuel standard. Renewal fuel standard is part of the clean air act. And so the abolishment of a particular or creation of a new department like the Homeland Security department did not exist prior to its creation, that didn’t change any of the loss that were on the books about immigration. It is just a function of the executive branch on how they want to implement their administration of loss. So, the renewable fuel standard actually would not be impacted at all by any change in status of the EPA. The renewal fuel standard of course has been supported by a variety of different political interests in very key states such as IOWA and I think those key political interests don’t change because largely congress didn’t change and so the President doesn’t really pass laws, congress passes laws and we’ve seen the oil industry worked very diligently over the last number of years, they try to change to renewable fuel standard and they have largely not successes. I would actually hesitate to try to find any place in which they have succeeded to pin in change in the renewable fuel standard. So, it requires congressional action that changes renewable fuel standard and it is a part of the cleaner act which means that the cleaner act has to be changed and that is a legislation going all the way back to 1970s. I think we’ve been asked to wrap-up here. So I think we will go back to the operator. Give me a call and we will talk about this stuff later.
Operator: Great, thank you. And I would just like to turn the floor back over to management for the closing comments and remarks.
A - Eric McAfee: Thank you very much Tony and thank you to the Aemetis shareholders, analysts and others for joining us today. We look forward to meeting with you and continue our dialogue about pursuing growth opportunities at Aemetis.
Todd Waltz: Thank you for attending today’s Aemetis earnings conference call. Please visit the investor section of the Aemetis website, where we will post a written version and an audio version of this Aemetis earnings review and business update. Tony?
Operator: Thank you. And this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a great day.